Operator: Good day, ladies and gentlemen, and welcome to the MSCI First Quarter 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session where we will limit participants to one question and a follow-up. As a reminder, this conference call is being recorded. I would like to turn the call over to Andrew Wiechmann, Head of Investor Relations, Strategy and Corporate Development. You may begin.
Andrew Wiechmann - MSCI, Inc.: Thank you, Brian. Good day and welcome to the MSCI first quarter 2018 earnings conference call. Earlier this morning, we issued a press release announcing our results for the first quarter. A copy of the release and the slide presentation that we've prepared for this call may be viewed at msci.com under the Investor Relations tab. Let me remind you that this call may contain forward-looking statements. You're cautioned not to place undue reliance on forward-looking statements which speak only as of the date on which they are made and are governed by the language on the second slide of today's presentation. For a discussion of additional risks and uncertainties, please see the risk factors and forward-looking statements in our most recent Form 10-K and our other SEC filings. During today's call, in addition to GAAP results, we also refer to non-GAAP measures, including but not limited to adjusted EBITDA, adjusted EBITDA expenses, adjusted EPS, and free cash flow. We believe our non-GAAP measures facilitate meaningful period-to-period comparisons and provide a baseline for the evolution of results. You'll find a reconciliation of the equivalent GAAP measures in the earnings materials and an explanation of why we deem this information to be meaningful as well as how management uses these measures on pages 23 to 27 of the earnings presentation. On the call today are Henry Fernandez, our Chairman and CEO; Baer Pettit, our President; and Kathleen Winters, our Chief Financial Officer. With that, let me now turn the call over to Mr. Henry Fernandez. Henry?
Henry A. Fernandez - MSCI, Inc.: Thanks, Andy. Good day to everyone, and thank you for joining us. As you can see by the first quarter highlights shown on slide 4 of the presentation we posted this morning, we delivered exceptional financial results during the quarter on the back of the significant momentum that we have been building. We delivered double-digit revenue and run rate growth, a 24% increase in adjusted EBITDA and a record 49% growth in adjusted EPS. I am thrilled to see the significant acceleration in our growth over the last several years with subscription run rate growth, excluding foreign exchange, improving from about 4% in Q1 2013, five years ago, to 9% this quarter. This acceleration has been driven through our continued focus on enhancing, expanding and, very importantly, integrating our core One MSCI franchise. Over that five-year period, we have added over 40,000 new indices to help our clients more effectively invest in a specific market, in the specific strategies and themes. We expanded and deepened our ESG coverage to include several thousand additional issuers, and incorporated a broader and richer set of ESG insights for our clients. We enhanced our global multi-asset class factor models, our suite of factor indices, and, most recently, we released our factor classification standard and Factor Box that have been fairly well-embraced. We work with our exchange partners and the trading community around the world to develop a dramatically deepened liquidity pool, a multi-country, multi-currency index futures and options. As a result, we have seen the quarterly volumes in futures and options based on our indices more than triple. This is an area of continued focus for us and significant upside potential. In addition to the strong financial result delivered during the quarter, we had several key accomplishments and notable milestones over the last few months that we believe add to our momentum and track record of enhancing and expanding our One MSCI franchise. We partnered more closely with clients like Jackson National Life Insurance Company who replaced our competitor's U.S. equity indices with MSCI indices for its external managers in their variable annuity business. Our excitement grows as clients choose to work more closely with MSCI because of our quality, reliability and cohesive investment framework. Over the quarter, we also launched a broad range of new China indices to allow investors to more effectively invest in the market in advance of the China A-share inclusion in our global indices later this month. Our focus on China is another area of continued investment because we believe with the opening of the country, both inflows and outflows of capital, it presents a significant opportunity for MSCI over the years. We worked with Thomson Reuters to integrate our multi-asset class risk analytics within Eikon, their flagship technology platform, to allow investors to understand areas of potential risks and undertake risk management of their portfolios within the Eikon platform. We established partnerships with Citigroup, Donnelley, Confluence and others to help mutual funds streamline new SEC reporting obligations to calculate and disclose certain risk and liquidity measures in their portfolios. Lastly, we remain extremely focused and committed to a very disciplined and consistent approach to capital optimization in terms of our capital base and our capital mix. In the recent soft and volatile market environment, we repurchased 1.4 million shares for a total value of about $210 million at an average price of about $145 since the beginning of the year. I will now turn the call over to Baer to provide additional color on our focused strategy and also, very importantly, to do an overview of a case study of a key investment area for us that illustrates well our ability to sustain growth by innovation and focus on continued investment across the investment process.
C. D. Baer Pettit - MSCI, Inc.: Thank you, Henry. In my 18 years at MSCI, I've been proud to participate in the ongoing transformation of the company. As highlighted on slide 5, we believe we have the right strategy, focused on empowering our clients to make better investment decisions through differentiated content, flexible technology and applications, and actionable services and solutions. We continue to see many new potential areas of attractive growth aligned with this strategy within our core markets. And we are increasingly confident that we have the right systems, processes and talent to identify, evaluate and execute on these opportunities. On slide 6, we want to showcase in-depth one high return investment area that highlights how we can fuel a long trajectory of growth through product expansion and evolution and continued industry adoption, not too dissimilar from what we have done with our index franchise. Through our interactions with clients and as a result of grown societal and investor demands, we identified ESG as an important investment consideration and an attractive long-term growth opportunity well over a decade ago. Consequently, we embarked on a path of developing our leading ESG franchise through a combination of organic and inorganic investment. Over the years, we have greatly expanded our ESG offering and help drive change within the industry, transforming our offering from a screening tool for investors to identify and exclude companies with certain exposures into a suite of offerings to help investors achieve their ESG objectives. By broadening and deepening our research coverage and by creating a consistent and systematic ratings methodology, we have developed a framework that can be used by clients to construct portfolios to achieve certain ESG objectives, identify ESG risk exposures, and increasingly generate alpha. Today, we have ESG ratings coverage of 13,000 issuers, including equities, fixed income, and government-related entities, plus selected ESG information on a much broader set of companies. Similarly, this systematic approach provides a natural foundation for ESG indexes, which are increasingly being used for index product creation in equity ETFs and institutional passive allocations, as well as for benchmarking purposes, as asset owners are increasingly giving active mandates with ESG objectives. As of March 31, there were over $10 billion of AUM in equity ETFs linked to our ESG indexes, which represents about 57% of the total market for ESG equity ETFs and is up 99% from a year ago. Additionally, we have been gaining traction in discussing ESG with fixed income investors and we are seeing increased adoption of ESG ratings among them as well as increased use of our fixed income indexes, which we provide in partnership with Bloomberg. Most recently, we have seen opportunities for factor investing to be integrated with ESG ratings, which is further enabled by our Factor ESG Target Indexes. This allows clients to create highly targeted portfolios. We continue to see many other attractive opportunities to apply our ESG content to new use cases within a broader range of client segments. The continued investment and expansion of our offering in ESG has been further enabled by the adoption of new technologies. This is a product area that utilizes a significant amount of unstructured non-standardized data. In order to drive productivity and improved operating leverage, we have begun to incorporate natural language processing and artificial intelligence capabilities to automate the extraction of data points and to leverage this technology in our production environment. With that, I'll turn the call over to Kathleen to discuss the financial results, segment results, capital activity and guidance for the year ahead in more detail. Kathleen?
Kathleen A. Winters - MSCI, Inc.: Thanks, Baer, and hello to everyone on the call. I'll start on slide 7 and take you through our financial performance. Following on the momentum of last year, we delivered very strong financial results for Q1, driven by both strong ABF and strong subscription revenues. We delivered double-digit recurring subscription revenue growth, driven by continued strength in index and ESG and a slight acceleration in the analytics growth rate. Average AUM in equity ETFs linked to our indexes was $780 billion for the quarter which was up 9% from Q4 2017 and 49% from Q1 2017, driven by strong market appreciation and nearly 30% market share capture. We continue to be focused on driving efficiencies and maintaining ongoing positive operating leverage, while at the same time making investments to build out our capabilities. We see many attractive organic growth opportunities and are sharply focused on driving productivity to fund these investments. The diluted and adjusted EPS growth of 55% and 49% respectively represented the highest quarterly year-over-year organic EPS growth ever achieved by MSCI. The 139% growth in cash flow from operations and over 200% growth in free cash flow benefited from the increase in operating profits and very strong cash collections. On slide 8, you can see the drivers of adjusted EPS growth. We executed well during the quarter with a strong operating growth complemented by tax favorability. Of the $0.16 improvement from tax, about half was attributable to tax reform and half attributable to higher stock-based compensation windfall benefits and improvements to our international tax rate. Additionally, we experienced a slightly higher FX headwind. In Q1, the net EBITDA impact of the depreciating U.S. dollar was unfavorable by $3.5 million, driven mainly by appreciation of the euro, the Hungarian forint, and the pound. Now let's turn to our segment results on slide 10. Overall Index revenue growth was driven by further acceleration in the growth of equity ETF-related revenue, non-ETF passive revenue, and exchange-traded futures and options products. Index recurring subscription revenue growth was also very strong with growth in new modules and strong traction in client segments like wealth management and banks and broker dealers. In the Analytics segment, we're seeing the benefit of the strong sales we booked last year, which are now converting into revenue growth. Within Analytics, we successfully executed the divestiture on April 9 of FEA, which was a non-core product that served energy and commodity companies. FEA was a lower growth product for us and represented approximately $8 million of run rate. We do not expect a meaningful impact to the Analytics expense base as a result of the divestiture given our continued focus on investing in our core areas to drive growth. Finally, the strong growth in our All Other segment was mainly driven by ESG where growth continues to accelerate, as Baer highlighted earlier. Slide 11 provides a summary of our key operating metrics by segment. Our run rate growth of 16% continues to benefit from our sales momentum and the AUM growth experienced over the last year. Index operating performance was largely driven by strong growth in asset-based fee run rate, which was up 38% in Q1 versus prior year. We continue to gain traction in selling factor, ESG, custom and specialized modules, and we've had success with sales into segments like wealth management, hedge funds, and banks and broker dealers with year-over-year run rate growth of 24%, 16% and 13%, respectively. Index cancels were up modestly off a low Q1 2017 level and impacted recurring net new growth. Cancels were primarily driven by client events such as reductions in office locations and continued consolidation. The Q1 index retention rate remained very strong at 96.4%. Within Analytics, the run rate growth was driven by continued success with our factors analytics offering, up 9% year-over-year, as there is growing focus on factor investing. We also saw strength across multiple client segments, most notably in asset management up 13%; asset owners up 11%; and banks and broker dealers up 9%. Despite this momentum, overall Analytics net new was down during the quarter due to the timing of sales and cancels and elevated cancels in some of our smaller product areas. As a reminder, in Q4, we had very high sales coinciding with very low cancels. Following that very strong net new performance I mentioned on the prior earnings call, net sales and canceled activity in this segment is typically lumpy. This is becoming increasingly so as we're seeing more sizable deals and more complex deals in the pipeline, and this is what we saw in Q1. Our pipeline, however, remains solid and retention remains strong at 93%. We continue to be confident about executing our roadmap to deliver improved growth across this product segment. We see significant opportunities to continue to partner with our clients and help them more efficiently and effectively achieve their investment objectives. We're well-positioned to meet their demands and continue to evolve to meet their growing needs. Our run rate growth for the All Other segment was largely driven by ESG. As Baer highlighted earlier, ESG growth continues to accelerate and Q1 sales were up 54% versus prior year, its highest on record. Slides 12 and 13 provide some additional detail on the Index segment. On slide 12, we demonstrate how we continue to grow our Index subscription franchise. Institutional asset owners and asset managers continue to grow at a healthy rate despite continued headwinds on active management. The continued momentum in these established client segments is fueled by upsells of newer modules such as our factor, ESG, custom and specialized modules. Additionally, there is an accelerating focus on and adoption of Index products within client segments such as banks and broker dealers, wealth management and hedge funds as these clients are increasingly using our index content and services as a more efficient way to achieve their investment objective. We've been dedicating coverage resources to cover these segments and we're increasingly investing time to help these clients understand how our indexes can help them achieve their objectives. As passive and index-based investing represents an increasingly large part of global markets, it creates further demand from these client types as they develop index-based strategies in trade-in or create index-based products. We continue to be excited by the ongoing prospects of our index subscription revenue business. Turning to slide 13, we show additional details on our asset-based fees. The upper-left chart highlights the exceptional growth we're seeing across all components of asset-based fee revenue and across all index-linked investment products. During the first quarter, we licensed our indexes to 35 new equity ETFs, 28 of which were based on factor and ESG indexes, bringing the total number of equity ETFs benchmarked to MSCI indexes to 1,033, which represents 22% of all equity ETFs, more than any other provider. There were net inflows across ETFs based on most of our index families, with particularly strong flows into developed markets outside the U.S. and emerging markets, and into ETFs linked to both our flagship and new index categories, as highlighted in the Appendix on page 20. As index providers seek to capture additional inflows and AUM with lower fee products, we continue to execute our strategy of structuring our licensing agreements with providers with the intent to increase our market share and drive long-term run rate growth in our equity ETF asset-based fees. We expect lower fee products to capture a disproportionate share of new flows and, as a result, we expect a continued decline in our average basis point fee level. Exchange traded futures and options, based on our indexes, continued their exceptional growth and benefited from higher trading volume due to the market volatility during the quarter. As we expand the number of index futures and options products based on our indexes, engage with exchanges and educate the trading community on our indexes, we expect the global liquidity for our trading community for our index futures and options to grow. During the quarter, we saw 25 million futures and options contracts traded globally based on MSCI indexes, up 37% versus the prior year. The MSCI Emerging Market Index Future traded on ICE U.S. was the fourth largest index future globally based on open interest. Turning to Analytics, slide 14 provides you with an update on the run rate and the margin trajectory over the last several years. Over the last few quarters, we've seen gradual improvement in the run rate growth to the current level of 8%. We're beginning to see revenue growth improve on the back of strong sales throughout 2017. We continue to see strength in our core focus areas of equity analytics and multi-asset class analytics, particularly with factor analytics and within asset owners and asset managers as clients increasingly want these offerings to help them understand the drivers of performance and risk and to help them more effectively and efficiently achieve their objectives. We're focused on executing our strategy and achieving the acceleration in revenue growth that will drive further adjusted EBITDA margin expansion into our long-term targeted range of 30% to 35% over time. Turning to the next section, slide 16, 17, and 18 provide an update on our capital, liquidity and our 2018 guidance. On slide 16, we provide our key balance sheet indicators. Our gross leverage is at 3 times at the low end of our stated range of 3.0 to 3.5 times. The leverage target range is a long-term target. And at times, our leverage may drop below the range depending on our near-term cash needs and market conditions. And, similarly, our leverage may increase above the range at times after we execute a financing. The board of directors has authorized the company to opportunistically explore financing options, although any potential financing is subject to market and other conditions and there can be no assurance as to the timing or certainty of a transaction. We'll continue to monitor our excess cash position and the market for potential financing windows. Now, let's turn to slide 17. As we said in the past, we're constantly striving for the most efficient capital structure to maximize returns for our shareholders. Our strategy is consistent. We continue to view repurchases as a central part of our return of capital strategy, and we'll continue to repurchase shares opportunistically. We'll repurchase more shares when there is volatility and softness in the markets and when we have excess cash and fewer shares when volatility is low and we have lower excess cash balances. Year-to-date, through May 2, we deployed $210 million to repurchase a total of 1.4 million shares of our stock. We've already deployed more cash for repurchases than in all of 2017, demonstrating our commitment to this strategy. Lastly, our weighted average diluted share count increased slightly during the quarter, up from 92.5 million as of Q4 2017 to 92.6 million this past quarter as a result of additional dilution from employee stock unit awards that are tied to total shareholder return. Lastly, as you see on slide 18, we're maintaining our guidance for 2018 in all areas, including interest expense at $116 million which assumes no additional financing. In summary, in Q1, we continued to execute against our strategy and exercise disciplined financial management on all fronts with a very solid start to the year. We remain excited about our growth opportunities for the balance of 2018 and beyond, and we very much look forward to keeping you updated on our progress. With that, we'll open the lines to take your questions.
Operator: Thank you. And our first question will come from the line of Manav Patnaik with Barclays. Your line is now open.
Manav Patnaik - Barclays Capital, Inc.: Thank you. Hi. Good afternoon. My first question was in the ESG case study that you guys showcased is there a way to break that out geographically? Just trying to get a flavor of whether the trend there is becoming more prevalent in the U.S. as opposed to what, I guess, we've historically viewed as more Europe-centric?
Henry A. Fernandez - MSCI, Inc.: Yeah. So this product line merely started to a large extent and was more prevalent in Europe, particularly the Nordic countries in Europe. But it has now significantly expanded in the U.S. market with the U.S. asset managers because, obviously, they need to compete for mandates among those European asset owners and some of the Canadian asset owners and some of the more advanced American asset owners that are focused on this area. So, that has, therefore, been a very sweet spot for us because we have excellent senior relationship with a lot of these big asset managers in the U.S., and, therefore, have been educating them and helping them think through how they integrate ESG ratings into their investment processes. So, therefore, there has been a very meaningful growth for us in the U.S. with the asset managers. We also are spending a great deal of time educating the asset owners, mostly the pension funds, in the U.S. who are lagging the Canadians and the Nordics and many of the other Europeans. So, that's another leg of benefit. And then, lastly, in this particular quarter, we had outside sales coming out of Asia from a small base but that also points us to a lot of optimism that the trend of ESG integration into the investment process is beginning to catch on in Asia. But, for now, the predominance of our revenues are coming from the U.S., which is the larger part, Europe second, and then a small revenue base from Asia but with a lot of optimism that that will increase significantly over time.
Manav Patnaik - Barclays Capital, Inc.: Got it. That's helpful. And I guess a similar question as my follow-up is more on the analytics side of the equation. Like are there faster-growing areas? Are there slower-growing areas? Is there any way to characterize the different pieces of that puzzle there?
C. D. Baer Pettit - MSCI, Inc.: Yeah. Sure.
Kathleen A. Winters - MSCI, Inc.: Go ahead, Baer. You can go ahead and I'll...
C. D. Baer Pettit - MSCI, Inc.: Okay. Yeah. I'll make some broad observation and then turn it over to Kathleen. So, clearly, we distinguish between three buckets, maybe the simplest way to look at it: our core risk analytics, our equity-related factor business and some of the less core areas. So, we've clearly had slower growth in some of the less core areas and that has prompted us to take the action, for example, with FEA this quarter which we've posted. The equity analytics area is generally growing at the rate that Kathleen had mentioned, so call it high-single-digits or low-teens, depending on the particular area that you're looking at. And our core risk with core clients in analytics, we've had low-teens numbers in the last quarters. So, our view is that we have a strengthening story with equity factors broadly in the market and we just have a continual, steady improvement in our core risk analytics with core clients. And we will continue to focus on trying to solve the small product issues. So, that's how I'd broadly characterize it.
Kathleen A. Winters - MSCI, Inc.: Yeah. So, let me just add a little bit of the numbers, Manav, just to give you some more color, and I'll talk about it both in terms of client segments and then content, if you will. But in terms of where we're seeing the stronger growth, well, first of all, let's step back. You're seeing the increasing trajectory, right, with run rate growth up to 8% this quarter. That's 6% FX. But in terms of where that is being driven, in particular, client segments or asset manager segment, as I mentioned, up 13%; our bank segment up 9%; and then as we've talked about, factor analytics run rate up 9% year-over-year. So, that's where we're seeing the positive strength.
Manav Patnaik - Barclays Capital, Inc.: Got it. Thanks a lot, guys.
Operator: Thank you. And our next question will come from the line of Chris Shutler with William Blair. Your line is now open.
Chris Charles Shutler - William Blair & Co. LLC: Hey, guys. Good morning.
Kathleen A. Winters - MSCI, Inc.: Good morning.
Chris Charles Shutler - William Blair & Co. LLC: Can you talk about the rationale for considering the increase in the debt to EBITDA to be on (32:08) 3.5 times? What do you think is a more reasonable level of debt at this point and is the likely usage just share repurchase and dividends or is there a potential for – or increasing potential for M&A?
Henry A. Fernandez - MSCI, Inc.: So, as Kathleen indicated and I mentioned it in my remarks, we are obsessively focused on what is the more slimmed down capital base that we can achieve, what is the best balance between equity and debt and in our investment plans organically internally, what are the highest return investments that we can make. So, very simply, how do we tighten up as much as possible the denominator and the mix of the denominator, and how do we increase to the maximum of our abilities the numerator to get the highest return possible on our capital? So, in the context of that, MSCI is a very large capital generator. Every single quarter, every single year, we generate capital, and, therefore, we are increasingly looking at ways to return that capital, taking advantage of volatility and softness and all of that. And as we are deleveraging, by the end of the year, we'll be in the high 2s in terms of gross leverage, and as we expect interest rates to increase, we are beginning to look at whether this is an opportune time to take advantage of the demand that exists in yield and particularly the demand that has existed in our bonds that are trading. And then in terms of the use of proceeds of something like this, it is definitely in terms of slimming down our capital. We always look at everything in terms of the M&A market. There hasn't been anything that has been very appealing strategically recently. And obviously the valuations are high. There is a lot of people tripping over these businesses, and, therefore, we stayed out of the way and are likely to stay out of the way unless something very, very appealing strategically comes along at the right return levels or price levels. So, therefore, you should expect that if we end up doing a financing at some point, it's going to add to the excess cash in the company and it will be deployed over time in terms of buybacks at a very opportunistic level. The last thing that I would say is, you've got to take a view on the market. And we view the market will be volatile, will be choppy, for a lot of reasons. People are trying to find their footing on monetary policy and fiscal policy. They're trying to find their footing on geopolitical risk and midterm elections in the U.S. and so on and so forth. So, we think it will be a target-rich environment to be opportunistic in buying back shares, if it does materialize.
Chris Charles Shutler - William Blair & Co. LLC: All right. Thanks, Henry. And then just one follow-up on the comment on integration of the risk and analytics into Thomson Eikon. It seems like a definite positive. Frankly, I'm surprised you weren't already integrated there. So, maybe just talk about that effort and any impact it could have on sales in the near to medium-term.
Henry A. Fernandez - MSCI, Inc.: So, look, in terms of the last piece, these things takes time, right? And some of these partnerships work well and some of them may be slower. But, importantly, we have a very strong philosophy at MSCI that we are increasingly executing on more forcefully of – if you look at the analytics product line, you can divide it up between content: the equity risk model data, the fixed income risk model data, the multi-asset class risk model data, a lot of our analytical libraries like the performance attribution algorithm, the Value-at-Risk algorithms and the prepayment models and all of that, think of that as content. And then think of Eikon and BarraOne and RiskManager and things like that as the workflow application that helps our client use that content or enable that content. So, anyhow, we have an open architecture in which we would like to put our content in every other application that exists in the world so that the client has a choice. They can either use that content in their own proprietary application. They can use it in third-party applications like Eikon or FactSet or others like that or they can use it with our own applications. So, in order to really – the way to look at is that if we sell five units for every unit of content, we like to sell 20 units for every unit of content no matter where in the world and no matter what at the choice of the client. So you're going to increasingly see us do more of this.
Chris Charles Shutler - William Blair & Co. LLC: All right. Thank you.
Operator: Thank you. And our next question will come from the line of Toni Kaplan with Morgan Stanley. Your line is now open.
Toni M. Kaplan - Morgan Stanley & Co. LLC: Hi. Good morning. You've highlighted fixed income a number of times over the past few calls and you've made strides on analytics and multi-asset class side. And with regard to benchmarking, I noticed on slide 6 the ESG fixed income indices. So I was hoping you could just update us on your capabilities in fixed income benchmarking products and sort of what's next in that category?
C. D. Baer Pettit - MSCI, Inc.: Sure. I'll make a few brief observations. So our focus in fixed income benchmarking is on innovation. So we're looking at a range of investment strategies in fixed income and we have been consulting with clients around them. So, as you have noted, our fixed income analytics are a critical part of our broader multi-asset class analytics. And in turn, we believe that being able to help clients solve fixed income portfolio construction questions or opportunities is central to that fixed income analytics opportunity. So the short answer is we're focused on fixed income strategies, and it's tied in more broadly with our broader One MSCI fixed income analytics and multi-asset class strategy. And you'll see more of that as we progress this year.
Toni M. Kaplan - Morgan Stanley & Co. LLC: Okay. Great. And I wanted to ask about ESG as well just given the strong performance this quarter. Could you just talk about in terms of product sets, like, is it asset managers are buying the data, the ratings? Is it the ESG research reports, or is there something else? And could you also just give us an update on the competitive landscape in ESG? That would be really helpful. Thank you.
C. D. Baer Pettit - MSCI, Inc.: Sure. Okay, sure. Yeah. So, asset managers are primarily buying the research which manifests itself both in written research reports on individual companies as well as on data feeds with various ratings and other content in them which they integrate into their investment process to ensure that their portfolios are either compliant to certain specific ES&G criteria or that they're aware of those type of risks or even opportunities. So, that's the main driver there. The additional driver is that we spend enormous amounts of time with the very large global asset owners such as pension funds, sovereign wealth, et cetera. And those type of actors, particularly those who have a public face, are increasingly setting mandates both indexed and active using ES&G indexes. And, finally, we've seen very attractive growth in ES&G ETFs. So, that category, while relatively modest, I referenced it in my comments earlier, is growing at a very, very, very dramatic pace. And in view of its size, we see that there's still enormous upside there.
Toni M. Kaplan - Morgan Stanley & Co. LLC: And does anyone compete with you in ESG?
C. D. Baer Pettit - MSCI, Inc.: Oh yes. I'm sorry. Yeah. So, we have a range of – I would say, that our competitors are mostly localized still in ES&G. So, there are a number of players both whether in EMEA or in the U.S. Some clearly are bigger well-known market names such as Bloomberg, are starting to operate in the ES&G area. But for now, I think it's fair to say that it's a fairly fragmented landscape where our role as a leader is pretty clear.
Toni M. Kaplan - Morgan Stanley & Co. LLC: Thank you.
Operator: Thank you. And our next question will come from the line of Joseph Foresi with Cantor Fitzgerald. Your line is now open.
Joseph Foresi - Cantor Fitzgerald Securities: Hi. Analytics saw some good improvement again this quarter. Can you remind us of the long-term financial targets there? I think you said 30% to 35% margins and how quickly can you get there?
Kathleen A. Winters - MSCI, Inc.: Yes. That's right, Joe. Thanks for the question. We're looking at a long-term margin target range of 30% to 35%. We've been making some really good progress in approaching that over the last several years as we've shown you and as we've talked about on each of the calls here. And I think it will take a little bit of time yet. I think it will take, I'd say, probably another at least 18 months to 2 years, 2.5 years to get solidly and consistently being in that range. And, again, it bounces up and down a little bit quarter-to-quarter. But I think in another 18 months to 2, 2.5 years we should be in that range.
Joseph Foresi - Cantor Fitzgerald Securities: Got it. And then my follow up, I was wondering how cushioned do you think you are from market volatility or a downturn. I guess I ask because it sounds like your product suite is expanding. And then just for point of clarification. Do you also have relationships with FactSet and S&P Capital IQ? Thanks.
Henry A. Fernandez - MSCI, Inc.: So, look, I think, the majority of our revenues are coming from subscription revenues that lied in either a huge upstream in the environment or lied a downturn in the environment. So, therefore, we're pretty insulated from either big bullish environments or various environments over time. And it's pretty sticky obviously, as you know. Then obviously minority of our revenues are coming from either asset-based fees or in the case of ETF or institutional passive or transaction-based fees. Now, there are very strong secular trends going on in these areas that when there is a market downturn, obviously, there will be market depreciation, but there's also inflows into this given that secular trend. One other thing that we have observed over the years, and I don't know if it's going to happen all the time, but is that in periods of significant market volatility, a lot of asset owners that want to be equitized, meaning they don't withdraw from the equity market, sometimes take passive approaches rather than active approaches. So, I would not bet that in a market downturn there will be both a market depreciation and a significant outflow of investment from institutional investors that retail investors make. But I think we're very comfortable with where we are there. And we also have a lot of scenarios to the extent that there are huge corrections or better markets. We have quite a lot of levers in the company to tighten or reduce our expense base to ensure that we protect some, maybe not all of it, but some of the profits of the company.
Kathleen A. Winters - MSCI, Inc.: Yeah. So, Joe, we do a lot of scenario analysis and scenario planning both to the upside and the downside to say what will we do if these set of conditions materializes. And to Henry's point, we have various levers that we have identified and analyzed and prioritized to say, if there is a downturn environment, if we are to – how do we act, what do we do. And I call it our downturn playbook but we've got a prioritized list of things that we go to. And it's the normal sort of variable, sort of, costs that you would think about in terms of compensation-related costs, and timing of things, and other discretionary expenses. So, we do a lot of the scenario planning and day by day, daily monitoring of the situation.
Henry A. Fernandez - MSCI, Inc.: So, what I would add to all of this more philosophically is that we love to be hedged at MSCI. Some people call it diversification. I call it hedge in which we want to have bet in Asia, and the Americas, in Europe. So, if one region of the world is not doing that great, the other region of the world is going to do that well. We want to be hedged between U.S. markets, developed ex-U.S. market and emerging market. Sometimes the U.S. market is doing great so we have a lot of upside there. If the U.S. market is not doing well, but Europe and developed Asia is doing well, we go there, and in emerging markets, likewise. We want to be hedged on currencies, right. If the dollar gets strong, we win. If the dollar gets weak, we win. If the stock price goes up, we feel very good. If the stock price – our stock price goes down, we buy back a lot of shares. So similarly, if equity values are great, we have a lot of equity offering. If fixed income becomes bigger, that's when we're investing in fixed income, and so on and so forth. So that is philosophically and that is the direction that you're going to see MSCI more and more, how do we make sure we continue to do well in good markets and bad markets. And it doesn't matter where in the world, the action is and where the weakness is.
Joseph Foresi - Cantor Fitzgerald Securities: Thank you.
Operator: Thank you. And our next question will come from the line of Hamzah Mazari with Macquarie. Your line is now open.
Hamzah Mazari - Macquarie Capital (USA), Inc.: Good morning. Thank you. The first question is I was hoping you could maybe update us on the integrated selling strategy that you talked about previously. Any metrics on sales force productivity. I know you had introduced a coverage incentive plan and senior account manager program. I know you talked a little bit about it at Q4. Any update on that.
Henry A. Fernandez - MSCI, Inc.: So, yeah, quite a lot that we have done in that area, and we still have a huge upside on that. The first thing is that we have obviously put most of our integrated selling effort into our largest client, the top 100, 100-plus clients in the company in which in addition to product salespeople we have good senior relationship manager that integrate all of that and are having dialog at the C-level of the client. And we're happy to report that the run rate growth of that client base is meaningfully higher than the run rate growth of the company and the retention rate is meaningfully lower than the retention – the cancelation rate – the retention rate is meaningfully higher than the retention rate that in the rest of the company. So, that is a very strong proof and has incentivized us to keep going in deepening that approach in those relationships. Secondly, we are increasingly working and training our product salespeople to identify opportunities. So, for example, in one big New York account, the analytics consultant was helping the client sort of integrate a lot of analytics and saw the opportunity that the client will be interested in ESG ratings and ESG indices and all of that and brought in the team to do that and we were able to make a large sale on that front. So, I think this is the way to go because it's really two things. One is that we used to sell only at the user level. We're increasingly selling at the C-suite level. And then second, and related direction, is we don't want to sell widgets, meaning just equity indices or ESG ratings or equity risk models or multi-asset class risks. We want to help clients solve a comprehensive set of solutions that are going to help them generate revenues, lower costs, and scale up their own operations. So, that is a big part of what we're trying to achieve, to combine all of our product lines into a set of outcomes or a set of solutions for the client.
Hamzah Mazari - Macquarie Capital (USA), Inc.: Great. That's a very – sorry, go ahead.
Kathleen A. Winters - MSCI, Inc.: Yeah. Just to add some data to that. As Henry said, the run rate, the growth rates on these, we call them the SAM (51:52) accounts, are a couple points higher. The retention rate is a full 2 points higher on these SAM (51:58) accounts, so really strong retention rates. And it seems to be a really effective approach to selling.
Hamzah Mazari - Macquarie Capital (USA), Inc.: That's very helpful. Thank you. And just a follow-up question. I'll turn it over. Could you maybe talk about the unvended market in risk management? Specifically, how much client internal spend is not outsourced yet and potentially could be on risk management that there could be upside for you and how you think about that particular piece. Thank you.
Henry A. Fernandez - MSCI, Inc.: Yeah. Look, so, the vast majority of the money spent is still in-house in building technology, models, cleaning data sets, adding to those data sets and all of that. And our strong view is that the investment industry, particularly the investment management industry, is not going to be able to do that sustainably for the next years. This is a similar approach that happened in Industrial America in the 1980s in which they used to do a lot of things and then they started getting hit by the Japanese which had built a very – an ecosystem of reliance on suppliers and distributors and all of that. So, similarly to that, the investment management industry is beginning to go through a process like that. And, therefore, a big, big part of what we want to do in analytics for the client (53:42) is capitalize on that demand by clients to buy a platform, if they want to think of it that way, a platform that they can run their investment operations on that is going to have data, models, all sorts of data of any kind, all sorts of models of any kind and all sorts of analytics, performance analytics, risk analytics, asset allocation analytics, portfolio construction analytics in all their areas of investment whether it's equity, public equities, private equities, public bond, private bonds, et cetera. And it's very efficient for them to lower cost and to scale up their operations and maintain or make sure they don't lower their own profit margin. So, that's a big runway in analytics and, therefore, that is where we are gradually making investments on. That's where gradually where we're having discussions with the CEO and the CIOs of our client organizations to be able to achieve that kind of way. If we do that well, in terms of the demand, identifying it and in terms of the infrastructure that we're building to achieve that, there's a huge amount of runway in what we call the analytics product line at MSCI.
Hamzah Mazari - Macquarie Capital (USA), Inc.: Great. Thanks so much.
Operator: Thank you. And our next question will come from the line of Vincent Hung with Autonomous. Your line is now open.
Vincent Hung - Autonomous Research US LP: Hi. So, coming back to the open architecture, so now you have Eikon at Thomson Reuters, where are you not plugged into and how significant of a distribution opportunity is it for analytics or is it just merely incremental?
C. D. Baer Pettit - MSCI, Inc.: Sure. So, the primary other distributor that we've had historically is FactSet, which is the sort of largest scale one that we've had over time. So, I think what's happening now is that we are taking the sort of open platform and open content philosophy that Henry alluded to and we will make it significantly easier for third-parties to work with us. So, I think that I would say that we have been philosophically entirely open platform since we bought Barra in 2004. But because of the broad range of different types of feed, databases, et cetera that we've had from all over the business, that's often not been very easy for our clients to integrate. So, one critical aspect of our One MSCI strategy has been significantly enhancing and streamlining our data operations and including making a lot of progress on APIs, et cetera. So, I think we're really just scratching the surface in this category. And if we look forward in the next 12 to 18 months, we'll see this accelerate. But if we look forward even beyond that to, let's say, a three to five-year period, this will clearly become a much more central to how we operate. And we hope to distinguish ourselves not merely by the excellence of our content but also by being significantly more user-friendly to work with having more flexible platform and technology and enabling a whole range of third-parties to work with us in flexible ways. So, I would say that we're really at the beginning of this strategy in terms of making it scalable.
Vincent Hung - Autonomous Research US LP: Okay. And a follow-up on ESG. Have you seen any sort of increased demand incrementally or focus on ESG because of the whole gender equality MeToo movement?
C. D. Baer Pettit - MSCI, Inc.: Look, I don't think we can clearly link any specific growth in sales to that. But what it is, it's emblematic of the broader context. So, there has been a whole range of very visible topics such as the gun topic in the United States and there are clearly ongoing huge focus on the environment across the globe. I mean, there's a litany of these. So, in essence, what is happening is that either officially through, let's say, a large public pension funds, a body of retirees who are putting pressure on them not to invest in certain categories of company or exposure, equally individuals through instruments like ETFs are taking active choices not to invest in certain categories. So, the point being is that all these societal pressures of various times ultimately have to reflect themselves in how people allocate capital. And we don't think that that's going away and that it will continue to play out for quite a number of years ahead.
Vincent Hung - Autonomous Research US LP: Great. Thanks.
Operator: Thank you. And our next question will come from the line of Patrick O'Shaughnessy with Raymond James. Your line is now open.
Patrick J. O'Shaughnessy - Raymond James & Associates, Inc.: Hey. Good afternoon. So, your press release, your earnings release today talked about how on May 1 the board authorized the company to explore financing options and potentially take the leverage ratio up. What are your current thoughts on the leverage that the business model can support at this point?
Henry A. Fernandez - MSCI, Inc.: We continue to believe that as we have believed in the last few years that a gross leverage of 3 to 3.5 times is the right one. We did a lot of extensive analysis in terms of particularly the sort of the return on equity. If you had a ratio lower than that or higher than that, will that impact the return on the valuation and the return on equity? So, that's what we – I don't think it has changed at all. And, therefore, if we drop significantly from that range, we will want to access the market. And if we do a financing maybe within that range or maybe higher than that range, I think the issue is that these things are discrete events. You cannot continuously obviously do it in a way that you remain within a very, very specified range, right.
Patrick J. O'Shaughnessy - Raymond James & Associates, Inc.: Great. Thank you very much.
Operator: Thank you. Ladies and gentlemen, this concludes our question-and-answer session for today. So, it is my pleasure to hand the conference back over to Mr. Andrew Wiechmann, Head of Investor Relations, Strategy and Corporate Development, for some closing comments or remarks.
Andrew Wiechmann - MSCI, Inc.: Thank you for joining us today. We appreciate your continued support. As always, feel free to reach out with any follow-up questions or additional clarifications. And we look forward to keeping you posted on our progress. Thank you, again.
Operator: Ladies and gentlemen, thank you for your participation on today's conference. This does conclude the program. And we may all disconnect. Everybody, have a wonderful day.